Thérèse Byars: Good afternoon, everyone. This is Therese Byars speaking, and I'm the Corporate Secretary of FRMO Corp. Thank you for joining us on this call. The statements made on this call apply only as of today. The information on this call should not be construed to be a recommendation to purchase or sell any particular security or investment fund.
 The opinions referenced on this call today are not intended to be a forecast of future events or a guarantee of future results. It should not be assumed that any of the security transactions referenced today have been or will prove to be profitable or that future investment decisions will be profitable or will equal or exceed the past performance of the investments.
 For additional information, you may visit the FRMO Corp. website at www.frmocorp.com. Today's discussion will be led by Murray Stahl, Chairman and Chief Executive Officer; and Steven Bregman, President and Chief Financial Officer. They will review key points related to the 2024 first quarter earnings. And a replay for this call will be available on the FRMO website until the summary transcript is posted. And now I'll turn the discussion over to Mr. Stahl. 
Murray Stahl: Okay. Thanks Therese and thanks everybody for joining us today. I was going to start with some general remarks but I'm going to -- like I always do, but I'm going to add some general remarks to my general remarks. And my first general remark to my general remarks is that we always try to do this real time that there's not a lot of tremendous preparation that goes into this. So we're just taking questions and whatever is happening right now is what we end up talking about.
 It's very, very real time. And you might be aware or perhaps you're not aware that the conference call format is slightly different ordinarily. We actually have a conference call company that prepares the meeting for us and then invites all the attendees. And now we're doing it ourselves. We're doing the technology ourselves. The reason for that is that the prices and I was just informed this literally about when this call was starting. So if we're starting 2 or 3 minutes late, those 2 or 3 minutes were extended entirely on informing yours truly that the prices for the conference call companies such as this went so high that we thought we'd rather just do it ourselves and save the money.
 So in light of one of the things that we almost always talk about is inflation, there is an example of inflation that I personally wasn't aware of because everybody thought I did, and I guess inculcated everyone and awareness of inflation, the prices went up a lot meaning they went up a lot more than the generalized rate of inflation that you'll see published as the CPI. And at some point, we're just going to do it ourselves.
 Now the reason that's so interesting apart from the fact that it's one microcosmic example of inflation. One of the reasons and this actually fits in perfectly because one of the reasons that the inflation rate is what actually it is, that the inflation calculation assumes substitution. So the price of the given commodity rises, the way the inflation rate was calculated in the prior modality was, was the basket of things given -- if a given item increases 10%, you multiply 10% by its weight and do that for every item in the basket, that's the inflation rate.
 That's not the way the rate is calculated right now. So the way the rate is calculated is it's assumed that if something rises, seem to be more than rate of inflation, that the way people cope with inflation is, and there's some actually truth in it, but it also distorts numbers, they'll substitute something else just like we did right now.
 So rather than pay the extra price for the conference call, we eliminate that cost. By doing it ourselves. Now obviously, there's a limitation and how poor you can do it. So I'll just give you an [indiscernible] medical example and to show you how inflation is prevalent in our circumstances and how you can't rely on inflation number. Let's assume for your purposes of this discussion only, because we're doing it over the phone and we want to keep it as simple as possible.
 And obviously, the world is much more complex, so I'm going to hypothesize here. The human being could live by buying only 2 commodities for a given year, chicken and beef. And what you need to survive is you need for the year, 3 pounds of chicken. You don't have to buy it all at once, you can buy in gradual increments, but at the end of the year, you have consumed 3 pounds of chicken and that chicken will cost you $3 per pound for $9.
 You also require 2 pounds of beef at $4 a pound, and that will be $8 obviously. So we assume those 2 expenditures, you got $17 of annual expenditures for a year. So that's your inflation base. Let's assume the price of chicken doesn't go up, but the price of beef goes to $5 a pound.
 Now the way the inflation rate is calculated until a number of years ago was thusly. You're now consuming 3 pounds of chicken as before, and the it cost $3 a piece. So it's still $9 and you're still consuming 2 pounds of beef because the basket remains constant. But now it's $5 a pound instead of $4 a pound, instead of paying $8 for the course of year, you would have paid $10. $9 and $10 is $19 and compared to the prior number of $17, obviously, a double-digit inflation. That's how the inflation is calculated for most of the history of the inflation numbers, until I think the watershed event, meaning the change in calculation came about 20 years ago.
 Subsequent to that, we have what's called [ inflation rate ] method, which we better name -- they call the substitution method because that's really where it is. So here's how the substitution method works. We're going to assume and there's no empirical data on this, you have to make an assumption, that the average person in this limited example is going to consume 4 pounds of chicken because it's cheaper than beef. You consume 4 pounds of chicken even it happens to have less nutritional value, you'll make that sacrifice.
 But the price is the same. So it's 4 pounds of chicken and it's $3 a pound still 3 times 4 is 12, that's your chicken expenses, but your beef consumption reduced to 1 pound as opposed to 2. It's now $5 a pound. So obviously, that adds that $5 to your expense which $12 and $5 is $17. There is no rate of inflation.
 So when you look at published inflation numbers, it's very, very important that you take that into account. That so when we're looking at things, and people, of course, are very influenced by the published number, which is fine, but I think it's worthwhile knowing how the published number comes about. In other words, how that published number is calculated. So important to us is building inflation into our investments because I think we're going to have a lot of inflation.
 And maybe the Q&A, someone asked me about that, but the inflation thesis, I think it's worthwhile focusing on, that it's difficult to express in the published numbers. That's why we own Texas Pacific and some other things, we can get into that later, if you like. And for the business that we're developing, we're developing a crypto-currency business.
 So crypto-currency in principle should be a beneficiary in inflation, but what if there is no inflation? Crypto-currency is -- will, in my humble opinion, will work even it there's no inflation. So we have various investments in crypto. I'll just touch on a few, and you'll see we expanded our crypto business gradually. So we have our own servers, we accumulate some crypto and on our website, we now put a table so you don't have to read all these crypto numbers.
 You can look at it yourselves and you can see where it is. We are gradually increasing our exposure to crypto. Why gradually? Because as a function of the economics of crypto, the purchasing power of crypto in relation to the equipment you have to buy to mine crypto is constantly getting cheaper.
 So in round numbers, years ago, when we started, you could have bought a -- one of these servers, but not a lot of hashing power and you had to pay 1 bitcoin for it. Today, you can buy servers that have maybe 15 or 18x hashing or computational power as the servers we bought 6 years ago. In 1 bitcoin, we'll probably pay for 4.5 maybe 5.
 So as you'll come to understand momentarily, the price of equipment is always going down. Now very few people believe that, but that's the empirical reality and it has to be the empirical reality as you'll come to understand momentarily. But before we get to that, just remember, it's not merely servers we have on the -- on our own books. We own a small interest in Consensus Mining, which is a mining company, which hopefully, if all goes well, will be traded in the public markets in about 90 days. Hopefully, that will happen. We own a piece of a hosting and crypto-currency mining rig repair company, which refer to our documents is HM Tech, but it's really HashMaster.
 We own a very small interest in digital currency group, and we also own a fairly substantial interest, and it's been getting bigger in Winland, used to call it the Winland electronics, now it's Winland Holdings. And as the most recent reckoning, we have something like 1,586,000 shares, some increment and we constantly expand that. And the way we do it is we buy shares in the open market and you will observe that frequently, we make transactions with Winland, meaning that we buy some mining equipment, brand-new state-of-the-art, which we swap with Winland, exchange for more Winland shares. So we're owning currently something not far from 34%. But Winland and that's gone up a lot in the last several years. And so it's important to keep on to [ add ] on that.
 So the vectors, so it's important to talk about this. There are 3 things you have to understand in crypto. And the most important one of which is there's something called a halving every 4 years. We're about 190 days away from next halving. What does that halving mean? It means that the reward you get for mining crypto, mining Bitcoin, which actually really means halving the transactions. Reward you get is cut by 50%, meaning it's cut in half.
 So now in crypto you're going to get with each successive iteration of halving is going to be cut by 50%. So in order to make the system work, everyone is going to find a way to lower electricity costs and increase the processing power of the equipment, that's actually what's been happening over the years.
 No one will believe this, but I can tell you because I could document it that we were in person, I would bring out documents, I would be able to prove this to everyone's satisfaction, that the efficiency of the state-of-the-art crypto-currency mining rig, relative to the first ones we bought, I think, 7 years now when we started buying these things is probably increased by 96%. And if I air, it's only because I air instead of caution out is any other electronic instrument has gained that much in efficiency, we measure efficiency in this particular case.
 In electric power used per unit of compensational power, which we call a Terahash. Terahash is 1 point as 1 trillion transactions a second. 1 Terahash per second. So that's what's going on. If you buy too much equipment, in any one iteration, you stand a great risk of being obsolete. So you buy equipment, your big risk is you might be obsolete before you've actually gotten through the estimated useful life of the equipment. You don't want to do big transactions. What you want to do is do small transactions and gradually grow your hashing power and you want to grow your hashing power at a rate, it's greater than the hashing power or the computational power with the entire system.
 That's we've done our public trade companies. So Consensus, which soon will be publicly traded, Winland, which is publicly traded, and HashMaster, which is not publicly traded, done that in all 3. The 3 vectors. Obviously, I stated the first, which is the halving and you understand that. So let's look at the halving in more detail in isolation, if we can.
 Look at it this way. every 4 years, the amount of bitcoin you're going to get for using a certain amount of computational power is going down in half. So it's another way of saying, in order to had the same reward as before, produce same amount of bitcoins before what you need is you need a lot more computational power. Other way of saying is the costs are going up because even the equipment gets cheaper, the electric power is not getting cheaper.
 There are some exceptions to that, but generally speaking, it's not getting cheaper. So like any commodity, bitcoin is a commodity. If the cost of producing is going to go up, it's going to go up. With Halving, it's engineered to basically double on price every 4 years. Remember, it's digital scarcity. So it's engineered to a certain thing. That's one of the vector mix go up. Another vector mix to go up is when I talked about is the hash rate, the aggregate computational powered system. The more people that are mining for Bitcoin, the more robust the Bitcoin blockchain is, meaning the lower the probability is, it isn't easy to hack it and certainly not one being able to hack it. what happens to you from a point of view -- view individually as a minor, you're expanding more effort, but you're competing with more people, you're getting less bitcoin.
 So not only do you have to worry about the Halving every 4 years, less the amount of bitcoin you're getting per block. You got to worry every hour of every day, because most of the time, not all the time, most of the time, the aggregate hashing power or the aggregate computational power is increasing and it's some way you're saying the costs are going up. It's not as sudden as the other case. And sometimes it goes down, but the general trend is up.
 So if the hash power goes down, which it infrequently does, but if it does, it will actually lead to a lower bitcoin price. Generally speaking it's going up. So the prices -- the amount of hash power is usually going up, but remember, it could go down. But it's better to think of in normal circumstances, the aggregate hash power system is a vector tells the price of bitcoin upward. The Halving curtails the price of bitcoin upward. Now there's a countervailing variable, which is the price of these rigs that you buy. There are occasions when they actually open price, which we actually influenced a bitcoin price upward. But most of the time, it's going down. So those 3 variables, if they were well understood, which they're not, but if they were, if they're well understood, the price of Bitcoin would not be volatile because those that are primary constituent elements.
 It's very, very simple. It also has one benefit apart from these 3 vectors that commodities in general don't have. So in commodities in general, whether it's gold or wheat or silver or what have you. There's no reason why the production of any commodity can't be increased. It can be done. And if price goes up enough, and return on investment capital for those people producing those commodities is high enough, you could be absolutely certain that the price is going to increase of the commodity in question. No doubt about it whatsoever.
 But if the price of commodity in question would increase? Usually, you can get more supply. Bitcoin is programmed that supply is always dwindling. We're now going to produce over the next 116 years, I believe, less than 1.4 million Bitcoin, that is about 1 million -- 19.5 odd million Bitcoin in existence. So this is a really incredible investment and a lot of bad things that can happen to it, but that's the way to understand Bitcoin specifically and crypto more generally.
 Now let's assume and now you'll understand the investment thesis, now you understand why we build this business so slowly. A lot of bad things can happen, some of it's obvious, some of it's not so obvious. But so far, those things have yet to happen. If the 3 vectors, which I just enumerated, were well understood because they happen over time and even when they happen, they are very, very predictable. They should be gradually discounted in the price of the coin. So the halving, you know about. You know what day it's going to happen and it should be gradually discounting.
 The hash rate. You don't know in advance, so it's going up or down. Frankly speaking it's goes up, you don't know by how much. But you can see it because it's calculated every minute. So it should be reflected in the price minute-by-minute. And as far as the price of machines go, they fall literally every week, there are some exceptions set, so there'll be some volatility. But generally speaking, they're falling between 3% and 3.5% a week. That's the normal regimen. It doesn't change all that much, but it does change. So if indeed crypto and you're using Bitcoin as an example, Bitcoin by the way, doesn't have to be the dominant crypto-currency, it just is because it has the biggest operating system and the most loyal community of miners, which is a really bad term, it should be called validators, but -- and it'd be much easier to understand, but they call them miners and I suppose we're going to have to tolerate that term. But basically, it's just validators and that makes the robustness of the system.
 So if all these attributes are known, Bitcoin -- my investment thesis is that Bitcoin, as an example, which should become gradually less volatile, and point of fact it turns out, there is something called the Crypto Volatility Token, you can see it on coinmarketcap.com. It's calculated in a way that resembles the VIX or the Volatility Index and it has -- can't go lower than zero and has a high value of 200. So it's a range of 0 to 200, and it started trading about 1.5 years ago, it had a value of 80, now in round numbers, I didn't look today, but it has around 40.
 Now 40 in crypto terms would be a very volatile and 40 in equity terms would be a very volatile market. So crypto right now, is a lot more volatile than equities. The only point to be taken away from this part is that it's approximately half the volatility it was 1.5 years ago. I personally believe that eventually, crypto is going to be less volatile than equities. I believe it's also going to be less volatile since it's getting a higher rate of return. And that is one of the reasons, I believe, one day, assuming none the many things that could go wrong, actually don't go wrong or do go wrong. I think it's going to be the biggest asset class. So that's a takeaway.
 Now looking at our financial statements, I just wanted to put a couple of points out there. And for you to notice, if you haven't already. So you'll notice first the shareholders equity attributable to company as opposed to our total shareholders equity, which we get to momentarily. We passed [ $200 million ] I don't know if that's the record shareholders' equity, I didn't look, I think it is. In the event, equity, total liabilities and shareholders' equity of $391 million, I think that's the -- that's otherwise known as total assets. I think it's the biggest balance sheet number we've had so far.
 So when you look at this balance sheet, you'll see minimalistic debt because of some big holdings, the earnings can be volatile, but remember, they are mark-to-market earnings. We have pretty big tax liability against our investments because we hold so long. So it goes down, we don't feel the full force of it because we unaccrue some of the tax liabilities. So as I said, we have minimalistic debt, you can see basically our debt is mortgage, amount now is $660,000, has been gradually paying down, and that is ownership of the building that houses HM Tech otherwise now is the HashMaster.
 Cash on the balance sheet is slightly less than $39 million and the biggest liability we have which is liability to government, our deferred tax liability of $24 million, which we only pay if we sell and we're not planning on doing that, hopefully, for a very long time. And there you have the meetings of -- if I do say so myself, an attractive balance sheet.
 Ultimately, in due course, the crypto investments will grow as they have been growing. And eventually, you'll be able to see an earnings and revenue stream related to it. At the moment, they're a minority investments. So we don't consolidate. So you can see the direction that we're gradually going in to guarantee that we're going to end up in that direction, but takeaway is we're gradually increasing our exposure to crypto and some consistent and ultimately, hopefully, meaningful way. Now I should tell you a lot of bad things could still happen to the crypto experiment.
 There's no guarantee of success. It just at this point in its evolution, it's probably in the best circumstance, it's ever been. So one quick way of just keeping an eye on to help the crypto environment is looking at that volatility number. So it's Crypto Volatility Token, you can find it on the coinmarketcap. And there you have a synopsis of what we're doing. I hope that was insightful or instructive to you. And maybe now if there are any questions to raise, we can take them and address them. If you wouldn't mind reading them? 
Thérèse Byars: I would be happy to. The first one is Horizon has launched a number of ETFs in the recent past. From the horizon perspective, why ETFs versus mutual funds? From the FRMO perspective, how do ETFs versus mutual funds impacts the Horizon revenue stream at all? 
Murray Stahl: Okay. Well, first, from the Horizon perspective, the mutual fund, the historical mutual fund, in certain ways, it has a little more flexibility than ETF. So in that sense, one might prefer the mutual fund, but you know the other is -- respects the cost of launching them. The ETF is far severe. So most people who buy ETFs as opposed to funds would rather buy an ETF than a fund. One reason that is the cost, as I said, are much lower.
 Another reason is you can sell during the day, whereas the mutual fund, you have to wait the 4:00 to take your money out. So a lot of people like the liquidity aspect. So whether we agree with it or not, from a horizon perspective, ETFs are here to stay, they are not going anywhere. If anything, they can grow. It's been more -- you might want to ask, why don't horizon and get into it earlier. And the reason was until not long ago, you couldn't do an actively managed ETF.
 You could only do an index ETF. And we want -- we didn't want to do index ETFs, although we're not totally against doing the Index ETF, we wanted to actively manage ETFs, and it's a whole long discussion on active versus passive, which if somebody asked me a question, I'll be glad to go on for hours and hours about that, if you like. But I've written plenty on that subject, so I'm not going to belabor at this moment. That's the Horizon perspective.
 The FRMO perspective is we have the revenue share agreement and whatever revenue is produced from ETFs are covered just like mutual funds and the other investments. So there's revenue from it, it will do very well. Now one of the ETFs, I'll just give you an honorable mention is what we call the blockchain development ETF and it doesn't have a lot of money in it. It's only a little over [ $3 million ] of assets that I mentioned. But is my contention that they will come [indiscernible] future where crypto-currency trades primarily on exchanges.
 That's not the case today. But I believe reasons we can go into, you want to explore it because it will take a lot of time to explain why, I believe the exchanges are the gateway to crypto. I believe crypto gets to be a legitimate asset class, which is well on its way to doing -- most of it, not all of it, but most of it is going to trade on regulated exchanges.
 One of the reason just to tiptoe into the subject is, one of the reasons is if you can have ETFs in crypto and you can get in during the day, you have to have prices that you know you can validate, meaning you can't have -- bids and offers, which happens -- normally that practice known as spoofing, it happens pretty frequently, can't allow that. You have to regulate the participants and now crypto trades globally. So one of the issues is you think is not going to regulate change and somebody is trading crypto outside of this country, how do you know they are even obeying the regulations or more importantly, what can one do as a regulator to ensure that people who are not citizens of this country are actually going to respect our regulations.
 So you have to trade on the exchange. That's the only way it's going to happen. And if you're going to trade an exchange, well, if it's a global product, how could you regulate participants that are not physically present in the United States, what the authority you have on the it. So therefore, you could argue and none has been worked out, these are just questions that are asked. It might only allow people in your exchange that the United States government has some jurisdiction over. And so you're sure you get restriction over them, maybe you don't want to sponsor, an ETF that would be Bitcoin is, if it we're up to me, that's what I would do, but I'm just one person. I certainly have no regulatory authority, but that's the way I would look at it. So anyway, you can see what's going on this fund of over $3 million.
 One day, I have hopes that this is going to be a pretty neat but, so since one can't actually invest directly in ETF to own crypto even though there are crypto funds that in the United States that are licensed that by the crypto features, you can't do the physical yet. So I think that's kind of a neat fund, will catch on. I don't know. I'm hopeful it will. I'm pretty confident in fullness of time, it's going to have pretty good performance. But let's say I'm right. And this actually happens. And I maybe wrong, but if I'm right, then it happens.
 What happens when exchange would make such an attractive investment over the long term. When you use this new asset class, which has happened a number of times in the last 100 years, the expenses already being reflected in your income statement at the moment. You're putting more throughput on the same systems. If your expenses go up minimally, your revenue growth and goes up a lot and the differential goes to the bottom line. And that's when we look at financial statements that changes, you'll find to have very robust financials and extremely high profit margins. So I hope that addresses a lot of that question. So what else, Therese? 
Thérèse Byars: Okay. The next question is, can you tell us how many shares of the Canadian Securities Exchange are owned by FRMO Corp? 
Murray Stahl: Okay. I think you probably -- you're the Secretary of the corporation, you probably have the record of that. So rather than using the memory, why don't you tell us what the number is? 
Thérèse Byars: In my records, I have [ 380,000 ] shares owned by FRMO Corp. 
Murray Stahl: There we go. And that's an easy one. 
Thérèse Byars: Next one, in absolute terms, which investment is the most undervalued on the FRMO Corp balance sheet in the opinion of Murray and/or Steven. 
Murray Stahl: Okay. Well, I'm going to take the liberty of ever so slightly rephrasing the question, reason is you will understand from the answer. I'm going to interpret is what investment has the most upside, the greatest potential. And I think it's bitcoin Cash. Bitcoin, by the way, I think it has numerous potential. I think Bitcoin Cash has more potential appreciation involvement. So basically, Bitcoin Cash, the same protocols as Bitcoin.
 Bitcoin Cash, 1 Bitcoin Cash trades at 0.7%, less than 1% of a Bitcoin. The reason it trades that level is the mining system, the mining network is less than 1% than a Bitcoin mining network. So there's no reason why that mining network will grow even in relation to bitcoin.
 And the reason is there are so many potential use cases of the blockchain just in transacting securities and so on and so forth, although a lot more than that. So we're going to grow eventually and securities grow to same-day settlement probably in a couple of years. And the current systems are just not adequate for that. And it's much harder and I would argue in the Bitcoin cases, it's impossible or I guess nothing is impossible, but so difficult practically say it's impossible of hacking Bitcoin.
 I don't think anybody has successfully done it ever. So in any event, Bitcoin in theory should be worth, nominal value, the value of old normally dominated currencies. If there is anything that has a value like a government bond or cash or things like that, crypto Bitcoin substitute for that sort of value. Should we work the least at arguably more than that. So Bitcoin cash trades at 0.7%, at 7%, 0.7%.
 The value of bitcoin and went to 2.8%. You basically have all the appreciation potential of Bitcoin, which is enormous because it's supposed to double every 4 years, minimally.   And that's actually, it's slightly experienced much more than that in time. And if you go from 0.7% to 2.8%, which is still a fraction of Bitcoin, that's under 4x. Whenever the [indiscernible] expansion is for doubling every 4 years. So that's to me the most attractive investment in terms of potential upside. But as I said, the crypto currency project can still fail. We have been mindful that although I don't think it's going to. 
Steven Bregman: Murray, Steven here. I would make your job a little harder and amend the question, there are there a couple of ways to look at what would be the best investment. One is the percentage increase of security could have, and then there's a question of how large it is. So in terms of total dollar return or market value returns are for FRMO corp. Would it still be a Bitcoin Cash or might be something... 
Murray Stahl: Yes, you're right. So basically, we have a lot less Bitcoin Cash than we have Bitcoin or Bitcoin Cash investment -- Bitcoin Investment Trust, we have Bitcoin. So you're right. Our biggest exposure in crypto is clearly to Bitcoin, mostly in the form of the Bitcoin Investment Trust, but we're buying along the way. So we have plenty of time to buy. I don't know where the future numbers are going to be.
 We recently bought some Bitcoin cash and that's one of the reasons exactly why the funds are there. Because in addition, people can't see this, but it's worth by noting, when you look at our liquidity, in terms of the balance sheet, the only cash you're seeing is the cash that's consolidated. So our own bank accounts and our own brokerage accounts. How much cash we have. Obviously, we don't need that, we have is a mortgage.
 You're not seeing liquidity in the funds. And then beyond that, we have enormous borrowing capacity that we've never touched but we have that as well. So -- and we have time. So little by little, we've been adding, it's in the funds, Bitcoin cash. So we'll see how long we're going to do it and what the upside potential really is. Like everything else we accumulated over time. So I hope I addressed that part of it satisfactory. Did I, Steve maybe not. 
Steven Bregman: You did. In fact, you answered it in the way I didn't expect. 
Murray Stahl: Okay. You welcome Okay. So what's the next question to us. 
Thérèse Byars: Next question is are FRMO's shares in Franco-Nevada held directly through funds or a mix of both? 
Murray Stahl: It's a mix of both. Some are held directly and some are in funds. That's true. 
Thérèse Byars: Okay. This, first is a comment. This shareholder wishes to thank FRMO for listing the library locations on the Horizon Kinetics website. We look forward to visiting some of them. And then he would like to ask for an update on how the short sales of the past dependent equities have been doing over the past year. Also, to what extent to high short borrow rates and/or short dividends detract from the investment? Or does the use of options avoid these expenses for FRMO? 
Murray Stahl: Okay. Well, basically, in the last 12 months, the shorts have been fabulous. The best ones have been the volatility shorts. It's worthwhile noting, we don't short volatility, if volatility is below its average. So the volatility metric is the VIX, the average, I may be slightly off, so don't hold me to this from memory. But the volatility average over time, which I defined to be the volatility since it started 19.53, so we haven't short anything since May 31. I know that because the volatility index has been below 19.53 for every day.
 Now I say the Volatility Index, I don't mean the spot decks that you're looking at. I'm actually looking at the forward future mix, but even so, it's been below 19.53 and we haven't short any since May 31. So on our records, May 31 is last day, we shorted those -- and they've been great. Why aren't we shorting it right now?
 Basically, experience, and that's what you have to go on. Experience shows us and be short below 19.53, the index of the stay below 19.53 for very long. And you're bound to have spike in the VIX. You haven't had it since, as I said, May 31. But we can't tell when it's going to happen, but I'm pretty confident it's going to happen.
 So what's happening is now we're just working down if you see on our balance sheet, we're working down the values. So by the contango of the volatility curve, we're short, it's losing value constantly, could lose value every day, that's losing value constantly with the internal daily trading of the things that we short, and that's great. So we'll see. I don't think it'll get to zero before or never really get to zero technically just approach to 0. I think it's going to spike up before we get to an ultra ultra low number. But you can see relative to cost, very low number.
 The other thing that we've been sorting are funds. They're also path dependent that pertain to precious metals. And there, we are still shorting them, and we've made a good return on those, not as good as the volatility, but pretty good. And if they'll be shorting every day, I don't think we've made money in the last -- I'm doing some memories, I could be a little off, but I don't think we make money on it in the last 6 months. And I don't think we lost money in the last 6 months. I think basically, it's in stasis for the last 6 months.
 Ultimately, we're -- it's path dependent. We're going to make money on it. So we short a little bit more every day. And those are essentially our -- that's essentially our short exposure. So you can see it from the balance sheet, you can see costs versus market is pretty good. Or on buyback, you also mentioned all our short investments are hedge wit options. So we're 100% hedged. A matter of fact, we're actually technically probably 105% or something like that, 100% plus a small increment hedged. So if it were to go against us, we're protected against that contingency. And the hedging costs are actually unusually cheap.
 Hedging cost is less than the contango. So it's worthwhile hedging it. It's actually much less than in contango. And then because you don't really want to make more money on your hedges. You don't want to lose all your money in the hedges because you don't want your underlying investment to go up, you want it to go down. So normally speaking, we lose money on our hedges, although sometimes when the market is going against us, we actually take a mark-to-market on the underlying things for short sales. We make money on the hedge, not to maybe want to go, but we're prepared to do it. And in the event, the ordinary or normal losses from hedging deductible for tax purposes.
 The tax rate is so high when you factor that in there, actually, these are very cheap hedges. That's why we maintain a fully hedged position. So other questions? Anyone? 
Thérèse Byars: That was our last question. That was our last. 
Murray Stahl: Okay. Well, in that case, remains now for me to thank everybody for following us and the question, the attention you pay us and we'll do our best to be worthy of your confidence in us and of course, we're going to reprise this in about 3 months. This quarter was unique because we had the annual meeting, and we answer a lot of questions there. But if in the interim, if matters come up or if you didn't think about this meeting, and you want something addressed, please contact us, and we're going to make sure we get you an answer until that time or next one of these calls, I'll just say good afternoon, and thanks so much for your support, and we'll be chatting soon. So bye-bye. 
Thérèse Byars: Thank you.